Operator: My name is Chris and I'll be your conference operator today. At this time, I would like to welcome everyone to the Babcock & Wilcox Q3 2017 Earnings Conference Call. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Chase Jacobson, Vice President of Investor Relations, you may begin your conference.
Chase Jacobson: Thank you, Chris, and good afternoon, everyone. Welcome to Babcock & Wilcox Enterprises' third quarter 2017 earnings conference call. I'm Chase Jacobson, Vice President of Investor Relations at B&W. Joining me this afternoon are Jim Ferland, B&W's Chairman and Chief Executive Officer; and Jenny Apker, Senior Vice President and Chief Financial Officer to discuss our third quarter results and outlook. During this call, certain statements we make will be forward-looking. These statements are subject to risks and uncertainties, including those set forth in our Safe Harbor provision for forward-looking statements that can be found at the end of our earnings press release and also in our Annual Report on Form 10-K and our Form 10-Q for the third quarter on file with the SEC, which provide further details about the risks related to our business. Additionally, except as required by law, we undertake no obligation to update any forward-looking statement. We also provide non-GAAP information regarding certain of our historical results as well as our forward outlook to supplement the results provided in accordance with GAAP. This information should not be considered superior to or as a substitute for the comparable GAAP measures. A reconciliation of historical non-GAAP measures can be found in our third quarter earnings release issued this afternoon and in our company overview presentation posted on the Investor Relations section of our website at babcock.com. I would ask that you limit yourself to one question and perhaps one follow-up. And you are of course welcome to get back in the queue. With that, I will turn the call over to Jim.
Jim Ferland: Thank you, Chase. Good afternoon everyone. On today's call, I'll like to start-off with some commentary about B&W's third quarter performance, then talk about strategic initiatives we're implementing to improve the company's financial flexibility, as well as an overview of our Renewable new-build projects. In the third quarter, we continue to execute well in Power. Industrial had another solid quarter of bookings, although execution in SPIG remained below our expectations. And importantly, we made significant progress towards completion of our Renewable new-build projects. We're proactively taking steps to improve our profitability and cash flow by driving cost savings actions across our business units and in multiple overhead-related functions. Specific to B&W Vølund, our Danish Renewable business, we're implementing a workforce reduction of approximately 30% as we optimize the business to operate under the new lower risk execution model we rolled out last quarter. As we have previously discussed, the new execution model focuses on B&W's core boiler, grate, and environmental equipment technologies, with the balance-of-plant and civil construction scope being executed by our partners. Additionally, outside of Vølund, we're taking significant actions to restructure our business unit and overhead functions in our U.S. and international operations. These actions include personnel reductions, office closures and consolidations in non-core geographies, and general SG&A and overhead cost reductions. These measures are focused on improving productivity and efficiency throughout the organization. In total, we're reducing the size of our workforce by approximately 9% and are targeting $45 million in annual savings in 2018. Roughly $20 million of these savings are anticipated to directly benefit profitability and the remainder are targeted at sustaining profitability as we shift to a new execution model in Renewable and as we continue to optimize our business, primarily as a result of lower revenue in the global new-build coal-fired power market. Total costs, which are mostly related to severance payments, are expected to be approximately $20 million and will largely be recognized in the fourth quarter. We ended the quarter well within our financial covenant limits and our projections show that will -- that this will remain the case going forward. Even with this positive outlook, as we move toward completion of our legacy U.K. Renewable projects in the first half of 2018, it is prudent for us to explore options to enhance our financial flexibility. With favorable outlooks for both MEGTEC and Universal, we're evaluating strategic alternatives and will use the next few months to establish values for these businesses. Beginning the process now will put us in a good position to make a decision on the path forward in early 2018. Turning to operations. I'd like to give more of an update on the progress we made on our Renewable new-build projects during the quarter. The two projects in Denmark are running and are in final testing phase before being turned over to the customers. In the U.K., the new-build projects significantly advanced in the quarter and remain on schedule to be substantially construction complete in the first half of 2018. As we previously announced, in September, we identified a problem in a structural steel beam at one of our projects in the U.K. Upon further review, we determined the issue was a result of an error in the structural design conducted by third-party work. Work stopped at this project pending corrective actions, which are currently underway. A similar design by the same third-party firm was also used on the two other new-build projects in the U.K. While there was no physical evidence of a structural issue on those projects, we stopped work for a few days as a safety precaution. Reinforcement of the structural steel is underway and site work is ongoing. In line with the estimate we provided when we identified the issue, the total cost impact of the three projects is anticipated to be approximately $20 million, with most of the costs related to the associated schedule delays at the site where the issue was first identified. Importantly, these costs were mostly offset in the quarter by agreements with our customers for design changes that enhance plant performance and increased power output relative to the original design. In total, this increased our revenue on the projects by $15 million, which was recognized as a gain in the quarter. With that, I will now turn the call over to Jenny to provide more detail on our financial results.
Jenny Apker: Thank you, Jim. Our third quarter consolidated revenues were $409 million, down slightly from the prior year, as increased revenue from acquisitive and organic growth in our Industrial segment was offset by lower revenue on new-build projects in Renewable and lower volumes in Power. In the quarter, we had a GAAP operating loss of $105 million and a GAAP loss per share of $2.48. Included in the GAAP losses were non-cash goodwill impairment charges of $87 million or $1.86 per share related to our Renewable and SPIG business lines. While we made progress on Renewable projects during the quarter, the decline in our market capitalization caused us to increase the discount rate applied to future cash flows, thus affecting the fair value of the reporting unit. Consequently, we have impaired the entire $50 million of goodwill in the Renewable segment. In SPIG, a shift in strategy to focus more on aftermarket and near-term profitability challenges also led us to increase the discount rate on future cash flows in this business line, resulting in a goodwill impairment charge of $37 million in the quarter. On an adjusted basis, for the third quarter of 2017, we reported an operating loss of $9 million and a loss per share of $0.49. Items impacting our operating earnings versus our expectations for the quarter were the structural steel issues in Renewable and lower profitability at SPIG, which were partially offset by lower SG&A across the company, driven by cost savings actions and good cost control and the previously mentioned performance enhancing design changes with several Renewable customers. Below the operating income line, we had an unfavorable FX impact of $7 million in the quarter, more than half of which represents non-cash translation of our global intercompany loan balance and which is largely due to the weakening of the U.S. dollar versus the euro during the quarter. Also, interest expense in the quarter was $7 million higher compared to last year, reflecting a higher level of borrowing. Turning to our segments. In Power, revenue was $202 million, down modestly year-over-year and in line with our expectations. The year-over-year decline was mainly due to a lower level of activity associated with the construction of new-build and environmental projects. Gross margin in the segment was 20.1% compared to 23.1% in the prior year quarter. We continue to see benefits from the restructuring plan we introduced in mid-2016, which combined with recent cost reductions, should allow Power to sustain its gross margin at current levels. In Renewable, revenue was down year-over-year as expected, mainly due to the level of work on new-build projects. Gross profit was just above breakeven in the quarter as the increased costs related to the structural steel issue were partially offset by agreements with our customers for higher power output on certain projects. Industrial segment revenue in the quarter was $99 million, up 29% compared to the third quarter of 2016. The increase was driven primarily by the contribution of Universal. The upward trajectory of Industrial revenue in the second half of 2017 is lower than we had anticipated, mainly due to the timing of shipments and percentage of completion revenues. That said it's important to note that MEGTEC had a second consecutive quarter of robust bookings, which drove a 67% year-over-year increase in MEGTEC's backlog, giving us confidence that revenue in this business is hitting a positive inflection point. Gross margin in the Industrial segment was 9.5% compared to 19.0% last year as the result of overall business mix and lower profitability on certain cooling systems projects. We had expected the issues on cooling systems projects to be contained to Q2. But under further review, we now believe the profit drag will last through the end of 2017 as we work through some of the dry cooling backlog. Turning to our cash flow, balance sheet, and liquidity. Free cash flow in the quarter was a use of $72 million and a use of a $162 million year-to-date. For the full year, we expect free cash flow to be a use of approximately $220 million with the difference compared to our previous outlook largely due to restructuring costs incurred in the third and fourth quarters. We ended the quarter with $48 million of cash and cash equivalents net of restricted cash. Balances under our U.S. and international revolving credit facilities at September 30th totaled $71 million. And in August, we entered into a second-lien term loan agreement with a face value of $176 million. The book value of that term loan at September 30th was $138 million. Under the terms of our amended U.S. revolving credit facility, we remain well within our covenant levels and we forecast that we will remain in compliance going forward. At the end of the third quarter, we had $94 million available for borrowings under the revolver and have an additional $20 million delay draw option under the second-lien term loan, which combined with our unrestricted cash balance, equates to a total available liquidity of $162 million at the end of the third quarter 2017. Based on our current forecast, we believe we have adequate capacity to fund our operations. That said, we continue to take proactive steps to enhance our financial flexibility. As we look into 2018, we are expecting a continued cash outflow in the first quarter as our Renewable new-build projects are forecast to move closer to completion with positive free cash flow returning in the second quarter and for the balance of the year. We will provide more detailed guidance for 2018 revenue, operating income, and free cash flow with our Q4 results. Also, I will note that as we evaluate options for MEGTEC and Universal, we have decided to postpone the realignment of our Industrial Steam Generation business into the Industrial segment. I will now turn the call back over to Jim.
Jim Ferland: Thanks Jenny. As we look to the end of 2017 and early 2018, we remain focused on execution and providing our customers with high quality engineered equipment and solutions. In Renewable, despite the structural steel issue, we made significant progress on the projects in our portfolio and remain on track to be substantially construction complete in the first half of 2018, an important milestone as it ties closely with our ability to return to positive cash flow. In Power, we're focused on optimizing our cost structure and serving our utility customers with aftermarket and retrofit equipment and services and capitalizing on new-build with environmental opportunities where available. The ever-changing regulatory environment in the U.S. has caused utilities to delay the ash projects we anticipated earlier in the year. And the number of large international prospects as expected is decreasing. And those that are available are taking longer to reach final investment decisions. As a result, we anticipate 2017 revenue to be approximately $825 million, the low end of our previous guidance range. Importantly, because of the actions we implemented in mid-2016 and over the past couple of months to further variabilize our cost structure, we believe we will hold segment gross margin in the low 20% range. In Industrial, we continue to see strong growth opportunities across MEGTEC and Universal business lines. While we expect 2017 revenue toward the lower end of our 2017 guidance range of $400 million to $450 million, the uptick in orders, especially at MEGTEC and improvement in end market demand gives us confidence the segment is poised for growth in 2018. At SPIG, we're shifting our focus. We're increasing attention to aftermarket services in the EMEA region, where SPIG has a strong market position and a robust installed base and are creating a new aftermarket services platform in the U.S., where we believe we can leverage B&W's established footprint. For new-build projects, we're increasing our focus on wet cooling projects in the EMEA region and we're being more selective in the projects we pursue in general. We're also working with our customers, particularly in the U.S., to enhance our dry cooling systems design, which we believe will ultimately improve our already solid position in the market. To sum it up, we're making good progress. We advanced the U.K. Renewable projects, we continue to execute well in Power, and Industrial had another quarter of solid bookings. We have the financial capacity we need to run the business and we're proactively taking steps to further improve the company's flexibility going forward. With that, I'll now turn the call back over to Chris, who will assist us in taking your questions.
Operator: [Operator Instructions] Your first question comes from Tahira Afzal from KeyBanc Capital Markets. Tahira your line is open.
Tahira Afzal: Evening folks.
Jenny Apker: Hey Tahira.
Jim Ferland: Evening.
Tahira Afzal: Congratulations on being slightly back on track.
Jim Ferland: Thank you.
Tahira Afzal: So, I guess the good news is you were pretty smart with offsetting some of the structural steel issue. Jim, you had mentioned in your commentary, you'd sort of stopped some of the other plants as well just to ensure there were no safety issues of the same sort. I guess the fact you didn't elaborate beyond that probably means those are all good to go.
Jim Ferland: Yes, for the most part, Tahira. So, the good news on the structural steel issue is it remained within the balance of what we originally projected in terms of cost. So, that ballpark $20 million figure was roughly what we put out in September and its holding. On the one unit that had the actual issue itself, we are in the process of finalizing the design and procuring some additional steel structures to supplement that unit. And that's where the bulk of the $20 million cost is to be incurred, both on the physical fix itself and actually a little bit more toward just the broad-based delay in construction as we deal with that issue. On the other two units that have the same design, but didn't have any sort of a physical issue, we have some small costs associated with those units in terms of putting up some additional steel structures, just to offer some additional support. But we're largely back at work at those units and we believe we can do those structural enhancements in parallel with making progress on the units.
Tahira Afzal: Got it. Okay. That's great news, Jim. I guess next question. It seems that you have a pretty solid and impressive restructuring and savings plan you've announced. From my experience in the past, you've been pretty good at delivering these. So, can you elaborate a bit more on the timeline? I know you said 2018, so -- but is it a step down directly into the first quarter? Or how does it really trickle into the year?
Jim Ferland: Yes. We're -- so Tahira, we're taking the great majority of the actions to mean, they've already been taken or will be taken in the remainder of the fourth quarter. And as we said, that's where we expect the majority of the costs associated with those actions to take place. And we expect the savings in 2018 to begin right in Q1 and continue throughout the year. I mean they might come in a little bit slower in Q1, but for the most part, the actions have been taken in 2017 and the upside will be reflected in 2018.
Tahira Afzal: Got it. Okay. Jim that's very helpful. I'm going to get back in the queue. Thank you.
Jim Ferland: Thanks.
Operator: Your next question comes from Jamie Cook from Credit Suisse. Jamie your line is open.
Jamie Cook: Hi, good evening. I guess just, Jim, a little more color. Obviously, you announced on the call that you're exploring strategic options for the company, in particular, for MEGTEC and Universal. So, just trying to understand your thought process in terms of what businesses you could potentially be putting up for sale. And then longer term, when you think about the Renewables business, why is that still a good business to be in?
Jim Ferland: Okay. Well, let me start with the last one first. So, on the Renewable business, we recognized we need to finish the four U.K. projects and we did make good progress in Q3. And importantly, once those projects are done, we shift our bidding focus to continuing to leverage what we think is very good technology, waste energy technology in that business segment, but with a model more refined to just delivering the technology that we're good at and using partners to do the bulk of the rest of the plan. So, we continue to believe our technology is good, and we see a lot of market demand across the globe. The trick for us is to deliver that technology in a form or a business model where we can make money going forward and have a much smaller risk profile, and that's what we're going to do. So, that's the plan with Renewable. First thing's first, get those products done. Second, reenter the market with a better business model. In regard to the discussion around exploring strategic options for MEGTEC and Universal, here's the thinking. We like those two businesses, so we don't want anybody to misinterpret this as we don't like them. We like Universal's business today. We like the upside Universal has in the retrofit market. And we like the MEGTEC business, both in terms of the stepped-up bookings that we're seeing as well as some of the technology upside, in particular on the lithium ion battery manufacturing components. So, we continue to like those businesses. That said, although today, we remain within our covenants and we project we're going to remain within our covenants going forward. We simply think it's prudent as we come to the end of the Renewable projects, which will be sometime very early in 2018 that we ensure that all options are available and on the table for us. One of those options, if we choose to exercise it at that point, would be to sell some of our existing assets, the most logical for us being MEGTEC and Universal. So, the plan would be to take the next few months to determine value, potential value on those business units and then when we get into early 2018, we have Q4 results, we know how well we're progressing on the Renewable projects. We've done some more talking with our various lenders. We'll make a decision as to whether it's smart to proceed with the strategic options on MEGTEC and Universal or not.
Jamie Cook: Okay. Thank you. I'll get back in queue.
Operator: Your next question comes from Bob Labick from CJS Securities. Bob your line is open.
Lee Jagoda: Hi, good afternoon. It's actually Lee Jagoda for Bob.
Jim Ferland: Good afternoon.
Jenny Apker: Hi Lee.
Lee Jagoda: So, just piggybacking on the last question, I guess, you've announced you're exploring strategic alternatives for part of Industrial. But I guess, why not all of Industrial or more than just the two, given when you made all these acquisitions, the rhetoric was around synergies and that's the reasons for doing them?
Jim Ferland: Sure. Well, I'll restate. So, we're within our financial covenants today and we project we're going to remain that way. Yet we'd like some optionality going forward. The reality is we may or may not choose to exercise those options on MEGTEC and Universal, but we didn't see any reason to expand to reach any broader than that. We very much like the SPIG business that we have. Obviously, we're working on improving budget management and execution in that business unit. But we see an awful lot of upside in SPIG and a lot of it comes from the strategic value of being associated with B&W, our ability to cross-sell, our ability to help SPIG enter aftermarket opportunities around the world where we have strength and they don't. And as we've all come to learn, the aftermarket is really where the margins are in that business. So, we see a lot of upside opportunity for SPIG. We think it works well with the core B&W. And we think that -- although we like optionality, exploring options with MEGTEC and Universal provides us sufficient optionality and we didn't need to go any further than that.
Lee Jagoda: Okay. And Jenny, one question for you. In terms of cash flow burn for 2017 in total, I think prior to this call, the estimate was somewhere around $200 million. Is there any update to that?
Jenny Apker: Yes Lee. We said that we think that for the full year, the cash -- the negative cash flow is going to be in the neighborhood of $220 million. That $20 million change is primarily the cost to achieve the savings that we announced with this call.
Lee Jagoda: Okay. Sounds good. Thank you very much.
Operator: Your next question comes from Steven Fisher from UBS. Steven your line is open.
Steven Fisher: Thanks. Good afternoon.
Jim Ferland: Good afternoon Steve.
Steven Fisher: Good afternoon. I just wanted to follow up again on the cash flow question. I'm wondering, maybe thinking a little bit beyond the timeframe of just the year end, if you could talk about the expected cash burn left on the completion of the projects. I know you said it's going to be negative through the first quarter. So, I'm just wondering what the cost is going to be in terms of cash flow to finish up these projects and how that has changed I guess perhaps netted against what you might be saving in your restructuring program. Just so we can kind of compare it to what we were talking about last quarter.
Jenny Apker: Yes. Steve we really have not put a lot of detail, either previously or with this forecast on what specific cash flows in the first quarter look like. I think it's, at this point, sufficient to say that we do think it will be a net cash outflow in Q1 and that we are forecasting a return to positive cash flow in the second quarter of next year.
Steven Fisher: Okay. And can you just talk about the -- I think your guidance implies a return to about 20% margins or so in the Industrial segment in the fourth quarter. I know you talked about some new reward in MEGTEC. Can you just talk about what's the confidence that you have in getting back to that level of margin at this point? And then I guess maybe related to this, can you just talk about what the sort of the revenue profile and profitability profile of the new SPIG strategy would look like? Just to kind of get a sense of how much might be an ongoing sustainable type of profitability if you were to get rid of Universal and MEGTEC?
Jim Ferland: Sure. Well, so let me see if I can catch all those. So, in regard to Q4, we expect MEGTEC to pick up. We had some additional losses in SPIG in Q3, which dragged down the gross margin that we expect to, right, alleviate to some extent in Q4. I think that combination will allow us to bring margins back in Industrial in Q4. In regard to the longer run for SPIG, right we'll -- our plan is to continue to deliver new equipment going forward with a little bit more of a focus on wet, the traditional technology in Europe. That's really been our stronghold and that's where we tend to do better with both wet and dry in the U.S. market, perhaps with an updated dry design. Although we've done very well in the U.S. market, we spent a lot of time with our customers and we think just a slightly enhanced design might help us in terms of efficiency and constructability. So, we think there's some upside there. In regard to the aftermarket, right, we like to continue the successful business we have in Europe, perhaps expand it some. We're actively working on that. And we like to, in essence, create an aftermarket business in the U.S. We don't do much of that work at all today and we think there's a lot of opportunity to enter that market for us. So, that said, we continue to expect big revenues to really not change from where we projected them and perhaps to grow as we get into the future. The trick for us will be to grow those revenues and grow the margin line at the same time. And we'll give you folks some additional detail on that as we move into the Q4 call and we talk a lot more about 2018.
Steven Fisher: That's helpful. And how -- so how would the margins in that SPIG sort of framework compare to the implied fourth quarter of the overall combined Industrial business?
Jim Ferland: Yes. We're deciding the best way to answer that. But I'd say it's going to be, in 2018, in line with what we have said before. And then our goal would be to step that up over time. So, again, we'll give you some additional color on 2018 in SPIG on the Q4 call.
Steven Fisher: Okay. If I could just ask one more follow-up on coal or on the Power business. What would you say is the base case for timing of new-build coal plants? And I guess how do you think about what the mix could be for 2018? And would you assume at this point that there would be some new-build plants that are awarded and burned in 2018 for the Power business?
Jim Ferland: Yes. So, we could -- yes. So, we continue to step down, right, our base expectations on new-build coal over time. That said we do anticipate there'll be at least one new-build coal in 2018. It's a contract that we've been awarded that kind of pushed out over time. Our goal is to sign that, either later in 2017 or very early in 2018 and then begin to execute that in a significant way in 2018. So, we essentially have one new one built into our forecast, and we continue to feel good about getting that award. It's just a matter of trying to be patient until it's finalized.
Steven Fisher: Thank you.
Operator: [Operator Instructions] Your next question comes from Tahira Afzal from KeyBanc Capital Markets. Tahira your line is open.
Tahira Afzal: This is great. I can ask as many questions as I want, right Jim?
Jim Ferland: Excellent.
Tahira Afzal: So, I guess one of the things that my financial model of your company is really sensitive to is G&A. So, what should we look at as the base G&A rate to build going forward? Because I'm sure some of the more visible savings go into the direct cost, but -- as well as G&A?
Jenny Apker: Well, like what we said Tahira was that of the $45 million in savings, about $20 million of that is directly going to benefit profitability and most of that $20 million is SG&A or similar types of costs. So, if you're trying to forecast it, I think that's an appropriate way to look at it.
Tahira Afzal: And Jenny should we be using the $70 million as the base to run that $20 million per annum from given the $61 million in the third quarter had some one-time sort of adjustments and all?
Jenny Apker: I think that $70 million was a good base level to start with.
Tahira Afzal: Got it. Okay. So, that puts it at around, let's say, third quarter at around $65 million worth of savings.
Jenny Apker: You know what there are always like ups and downs as you move -- as things get recognized. I wouldn't get too precise with it in the third quarter.
Tahira Afzal: Fair, fair enough. And Jim and Jenny, in your prepared commentary, you mentioned that there might be a bit of drag on SPIG into the fourth quarter. How should we think about it? Will there be some sequential improvement in profitability? Or should we be looking at really the last two quarters as a good benchmark?
Jim Ferland: I expect to see some improvement in productivity and profitability in SPIG in Q4. So, that expectation has been laid out. And as we look at the projects, I think we'll continue to do better and we'd expect to be back to something resembling normal as we move into 2018.
Tahira Afzal: Got it. So, would you guys then wager that as you're see things, we should return back to operating profit that's positive, right into the fourth quarter? Am I missing out on some moving parts?
Jim Ferland: Yes.
Tahira Afzal: Got it. Thank you. Guys, I'll just hop back in the queue. There is one, and if not, then I'll follow-up and [Indiscernible] one-on-one. Thank you guys.
Jim Ferland: That would great. Thank you.
Operator: Your next question comes from Robert Norfleet from Alembic Global Advisors. Rob your line is open.
Robert Norfleet: Good evening.
Jim Ferland: Hi Rob.
Robert Norfleet: So, just a couple of quick questions. And I know Jenny noted during the quarter, there was a little bit of a drag in terms of profit as it relates to some of these dry cooling projects. Can you kind of talk a little bit about -- or provide a little granularity around it? I mean it didn't sound like a big deal, but what level of profit drag did we see? And I know that's expected to persist through the end of the year. Can you just provide a little more substance behind that? That would be helpful.
Jim Ferland: Yes. So, we don't have any huge issues on any of those projects inside SPIG. What we have is some margin deterioration here and there, a little bit due to some bidding, a little bit on execution. With one or two projects, we would probably get washed out by the upside that typically come on projects. There've been more downside than upside in SPIG and that's unacceptable from our perspective. And it's caused us to go back in and reassess how we did the projects, how we run the projects. And those fixes are in place and being implemented now. So, we expect much better performance as we go forward.
Robert Norfleet: Okay, great. And I know in terms of Universal and MEGTEC, it's an evaluation period in terms of assessing potential value for those businesses if you were indeed to sell them. Would you likely package those together or separately? Because I mean looking at your Industrial segment right now, those two businesses look to account for roughly two-thirds of revenues within that business. I just want to get kind of an understanding of that process and then how you're really looking at what's left SPIG within the Industrial businesses as a standalone entity.
Jim Ferland: Right. So, with regard to MEGTEC and Universal, I'd say we have an open mind as to how we approach the market on those whether it's individually or together. In regard to the Industrial business unit, say, six months from now post the decision, it may well be that we continue to own MEGTEC and/or Universal and that business unit is whole and we're moving forward. It may be that we're focused more on SPIG, in which the obvious would be to try to find a way to optimize it and blend it as much into Power as we can. So, those will kind of be the two big choices going forward. But let's see what the next few months bring. Right now, we -- our financials are solid. We project them to remain solid and we feel pretty good about where we're going to be six months from now. That said it's just smart in our view to have options and that's what we're looking to do here.
Robert Norfleet: Okay, great. And just lastly, in terms of free cash flow, Jenny, I know obviously, you said it's obviously will be a use of cash in the first half of next year. When we do get back to free cash flow positive in the second half, what kind of free cash flow conversion rate are we looking at relative to net income?
Jenny Apker: Rob, I think it's a little bit too early to start getting very precise about the 2018 free cash flow. What we did say was that we think that free cash flow in the first quarter will be negative and we would expect it to turn positive in the second quarter.
Robert Norfleet: Okay, great. Thanks again guys. Appreciate it.
Jim Ferland: Thank you.
Operator: And at this time, I would like to turn the call back to Chase Jacobson for closing remarks.
Chase Jacobson: Okay. Thank you everybody for joining us. That concludes our conference call. A replay will be available for a limited time in our website later today. I look forward to speaking with many of you in the coming weeks. Thanks.
Operator: This concludes today's conference call. Thank you for your participation. And you may now disconnect.